Operator: Good morning, and welcome to the 2025 Fourth Quarter Earnings Conference Call hosted by BNY. [Operator Instructions] Please note that this conference call and webcast will be recorded and will consist of copyrighted material. You may not record or rebroadcast these materials without BNY's consent. I will now turn the call over to Marius Merz, BNY Head of Investor Relations. Please go ahead.
Marius Merz: Thank you, operator. Good morning, everyone, and welcome to our fourth quarter earnings call. I'm here with Robin Vince, our CEO; and Dermot McDonogh, our CFO. As always, we will reference our quarterly update presentation, which can be found on the Investor Relations page of our website at bny.com. And I'll note that our remarks will contain forward-looking statements and non-GAAP measures. Actual results may differ materially from those projected in the forward-looking statements. Information about these statements and non-GAAP measures is available in the earnings press release, financial supplement and quarterly update presentation, all of which can be found on the Investor Relations page of our website. Forward-looking statements made on this call speak only as of today, January 13, 2026 and will not be updated. With that, I will turn it over to Robin.
Robin Vince: Thanks, Marius. Good morning, everyone, and thank you for joining us. I'll begin with a strategic update, and then Dermot will take you through our financial performance in the fourth quarter, our outlook for 2026 and our increased targets for the medium term as we look ahead toward the next phase on our journey to unlock BNY's full potential over the long term. Starting on Page 3 of our quarterly update presentation. 2025 was another successful year for BNY. In short, we delivered record net income of $5.3 billion on record revenue of $20.1 billion and generated a return on tangible common equity of 26%. Total revenue grew by 8% year-over-year. In combination with expense growth of 3%, we drove 507 basis points of positive operating leverage on a reported basis and 411 basis points, excluding notable items, resulting in an improved pretax margin of 35%. Consistent execution delivered 4 consecutive quarters of positive operating leverage in 2025, bringing us to 8 consecutive quarters overall. Taken together, we grew earnings per share by 28% year-over-year to $7.40 and returned $5 billion of capital to our shareholders through common dividends and share repurchases. This strong financial performance was the output of our work to reimagine BNY and was enabled by tangible progress across strategic priorities over the past year, which we highlight in the 4 boxes on Slide 4. First, our commercial model is working. Operating as One BNY, we are starting to bring the full breadth of the company together to deliver more products and services to meet our clients' needs. This includes embedding sales practices and behaviors that enable our teams to deliver more and better for clients with greater consistency to drive deeper relationships with existing clients and open the door to new ones. We achieved record sales performance for the year, and we announced several noteworthy wins in the fourth quarter. Further deepening our relationship, WisdomTree selected BNY as their banking as a service provider for the WisdomTree Prime platform. This solution brings together banking, payments, custody and digital assets to support the growth of WisdomTree's new retail distribution model and its strategy on being a leading digital asset forward investment manager. [ Jupiter ], an active asset manager, selected BNY for a suite of capabilities from front to back from investment operations and data management all the way through to custody, streamlining their operating platform and positioning them for the future. And Japan's Government Pension Investment Fund selected BNY to deliver integrated data and analytics for private markets. This solution aims to help them manage complexity, enhance transparency and improve decision-making across their growing alternative investment portfolio. Second, we continued to make progress in unlocking the scale and growth potential of our platforms by transitioning approximately half of our people into the platform's operating model over the course of 2025, which brings us to more than 70% of our people working in the model today. This initiative has been a core component of rewiring BNY to make us more agile and intentional in how we deliver to clients. [indiscernible] performs part of a larger collection of initiatives that are at the heart of running our company in a fundamentally different way. Third, in 2025, we made significant advances in the adoption of AI, underscoring our industry leadership in this burgeoning space. Built upon very deliberate investments over the past several years, our enterprise AI platform, Eliza, is unlocking capacity for our people, allowing them to focus on higher value work for our clients. We recently announced a collaboration with Google Cloud to integrate Gemini Enterprise capabilities into our Eliza platform, enhancing our ability to support deep research, analysis and data-intensive workflows across the company, building on existing collaborations with OpenAI and others. These collaborations underscore our commitment to deploying AI responsibly and scale. We expect that over time, AI will allow us to remake many of our processes and systems in new and exciting ways. And that, together with embedding AI in our products and services, represents a significant opportunity for our company in the years ahead. Fourth, BNY has a rich 241-year history of innovation, from issuing the first loan to the U.S. government to becoming the first U.S. [ G-SIB ] to offer digital asset custody. Our focus on innovating new products and solutions is centered on building trusted market infrastructure for the long term and serving our clients in new and evolving ways including increasing delivery of new capabilities connecting the traditional and digital asset worlds. This past quarter, for example, we launched the Dreyfus Stablecoin Reserves Fund, a government money market fund designed to support stablecoin issuers and institutional participants to manage eligible reserve assets providing BNY's cash and liquidity solutions expertise to the growing digital payments ecosystem. Our recently announced tokenized AAA CLO strategy in partnership with [ Securitize ] brings high rated structured credit product onto the blockchain with BNY serving a sub-adviser and custodian of the underlying assets. And just last week, we announced that we have taken the first step in our strategy to tokenize deposits by enabling the on-chain mirrored representation of client deposit balances on our digital assets platform. As we reflect on the scope of our market-leading businesses, our central position as a provider of financial market infrastructure and the depth and breadth of our client relationships, traditional and digitally native. We believe that we are particularly well positioned to advance the future of financial markets. From the very beginning of our work 3 years ago, we have taken a long-term view toward unlocking BNY's full opportunity as a financial services platforms company with a commitment to disciplined execution and sustained value creation for our clients and shareholders over time. I'm going to touch briefly on some of the work that has brought us here described on Page 5 of our presentation. Two years ago, we communicated our strategic road map and a set of medium-term financial targets for what we viewed as the first foundation setting phase in a multiyear transformation of BNY. While there are elements of that work that will continue well into the future, we consider that this is the right moment to begin to turn the page towards our next phase. But before we get to that, I'll take the opportunity to reflect on our efforts, the impact that we've seen across our businesses and operations and how this has started to translate into improved financial performance. As we embarked on the journey, we recognized early on that we had to work across several fronts at the same time. Simplifying how we operate, improving execution and delivering for our clients and that how we did it as a team was essential to creating deep and enduring change. Thorough strategic and financial business reviews demonstrated to us the powerful combination of capabilities within BNY. We are the #1 custodian in the world and the #1 collateral manager, the leading provider of issuer services and the primary settlement agent for U.S. government securities. We operate a top-tier payments and liquidity franchise and offer our clients leading investments and wealth capabilities. Individually, these are market-leading businesses together they represent a set of highly adjacent financial services platforms operating at the center of global financial markets, difficult to replicate at scale and increasingly valuable to our clients. To organize the company around execution, we deliberately framed our work across 3 simple elements of strategy, which we continue to focus on. The first was clients. To be more for them, to deliver more of our existing products to our existing clients to add new clients, to add new products and to meet clients where they are with solutions tailored to their needs and responsive to market trends and opportunities. The second was on how we run our company. We knew we could do that better simplifying, improving financial discipline, breaking down barriers, challenging the status quo and reimagining our operating model as a platform company. The third was culture. Simple to say, hard to do, but magical when it works, a collective sense of ownership, teamwork and accountability, all coming together to bring the other 2 key strategic pillars to life. This spirit of ownership and accountability is at the heart of our delivery. So it was important to us to build credibility and momentum through consistent execution toward better business and operational performance, some examples of which you can see on Slide 6. What has been and continues to be the single most compelling growth opportunity for BNY is doing more business with our existing clients. In 2024, we launched our new commercial model designed to encourage our sales and service teams to raise their ambition equip them with new tools and to enable our people to deliver solutions from across BNY, leveraging the full breadth of our platforms. Over the last 2 years, the number of clients buying 3 or more of our services increased by more than 60%, and organic fee growth has climbed to 3%, reflecting good progress with even greater opportunity ahead. In combination with stronger organic growth, we took steady, deliberate actions to reduce sensitivity to interest rates, driving more resilient top line revenue growth in a range of macroeconomic environments. At the same time, our ongoing transition and increasing maturity in the platform's operating model is reducing friction and driving further productivity improvements. For example, investments in digitization and automation have meaningfully lowered the unit cost for processes like striking a NAV and settling a trade and our people are building innovative AI solutions that we expect over time will have a meaningful impact across the company. We're proud that in 2025 alone, we deployed over 130 digital employees, industry-leading multi-agentic AI capabilities. Our digital employees work alongside our people, supporting them with tasks like validating payment details and remediating code vulnerabilities, allowing teams to focus on higher value work and client outcomes. Taken together, these metrics give glimpses into the how of our execution, milestones and examples, not end points, but helpful indicators that our strategy is working and that there continues to be meaningful opportunity ahead. Turning to Slide 7. By centering the company on positive operating leverage as our North Star, we created a clear intuitive framework for our teams to execute on. The cumulative impact of our steady improvement year after year while capitalizing on a relatively supportive market backdrop has resulted in a meaningful improvement in BNY's financial performance over the last few years. More consistent revenue growth and deliberate expense management have resulted in positive operating leverage, margin expansion and improved profitability, together, driving double-digit annual earnings per share growth. Turning to Slide 8. When compared to BNY's financial performance over the prior decade, we can see the difference that consistent discipline, clear intent and sustained execution make over time. More resilient top line revenue growth has started to build and better control of our expense base has allowed us to continue to self-fund important investments in future growth. While we're encouraged by this progress, we are not satisfied. Our work is far from complete. We remain humble and intensely focused on the opportunity ahead. To that point, I'll wrap up on Slide 9 with where we are headed next. With the foundations largely in place and more of the people in their seats to help us execute. The next phase of our journey to unlock BNY's potential is about realizing scale and growth opportunities across our company. As we mature in our new commercial and platform models unlock capacity using AI and in so doing, serve our clients in new and better ways, enabling the global financial markets and infrastructure of the future. Taken together, our focus for 2026 and over the medium term represents an exciting shift: Built on the work done over the past 3 years to enable higher growth and deliver on the competitive advantages embedded in BNY as we remain steadfast in our commitment to create value for you, our investors. I want to thank our teams around the world for their dedication to our clients and their commitment to reimagining our company. We are entering 2026 with positive momentum and we are excited for the work ahead of us. With that, I'll turn it over to Dermot to take you through the financials for the quarter in greater detail before reviewing our outlook for 2026 and our next set of milestones. Dermot?
Dermot McDonogh: Thank you, Robin, and good morning, everyone. I'm picking up on Page 12 of the presentation with our results for the fourth quarter. Total revenue of $5.2 billion was up 7% year-over-year. Fee revenue was up 5%. This included 8% growth in investment services fees primarily driven by net new business, higher market values and higher client activity. Investment Management and performance fees were flat as growth primarily resulting from higher market values was offset by the impact of the mix of AUM flows and the adjustment for certain rebates we discussed in prior quarters. Firm-wide AUC/A of $59.3 trillion increased by 14% year-over-year, reflecting client inflows, higher market values and the favorable impact of a weaker U.S. dollar. Assets under management of $2.2 trillion were up 7%, reflecting higher market values and the weaker dollar, partially offset by cumulative net outflows. Investment and other revenue was $135 million in the quarter, including $43 million of other investment losses and $15 million of net securities losses. Net interest income increased by 13% year-over-year, primarily reflecting the continued reinvestment of maturing investment securities at higher yields and balance sheet growth, partially offset by deposit margin compression. Expenses of $3.4 billion were flat year-over-year on a reported basis and up 4% excluding notable items. This reflects higher investments and revenue-related expenses, employee merit increases and the unfavorable impact of the weaker dollar, partially offset by efficiency savings. Provision for credit losses was a benefit of $26 million in the quarter, primarily driven by improvements in commercial real estate exposure and changes in the macroeconomic forecast. Pretax margin was 36% on a reported basis and 37% excluding notable items. And return on tangible common equity was 27%. Taken together, we reported earnings per share of $2.02, up 31% year-over-year. And excluding notable items, earnings per share were $2.08, up 21%. Robin touched on our results for the full year earlier, but turning to Page 13, I'd like to expand on some of the most important items. We grew total revenue by 8% year-over-year to a record $20.1 billion for the full year of 2025. Fee revenue was up 6%. We grew investment services fees by 8%, primarily driven by net new business, higher market values and client activity. Investment Management and performance fees were down 2%, reflecting the mix of AUM flows and lower performance fees, partially offset by higher market values and the weaker dollar. Net interest income was up 15%, primarily driven by the reinvestment of maturing investment securities at higher yields and balance sheet growth, partially offset by deposit margin compression. Expenses of $13.1 billion were up 3%, both on a reported and on an operating basis. Excluding the impact of notable items, the increase reflects higher investments, employee merit increases, higher revenue-related expenses and the unfavorable impact of the weaker dollar, partially offset by efficiency savings. Pretax margin was 35% on a reported basis and 36% excluding notable items. And return on tangible common equity was 26% for the year. As Robin noted earlier, we reported earnings per share of $7.40. Excluding notable items, earnings per share were $7.50, up 24% year-over-year. On to Capital and Liquidity on Page 14. Our Tier 1 leverage ratio for the quarter was 6%, down 9 basis points sequentially. Average assets increased by 3% on the back of deposit growth, and Tier 1 capital increased by $439 million, driven by capital generated through earnings and a net increase in accumulated other comprehensive income partially offset by capital returns through common stock repurchases and dividends. Our CET1 ratio at the end of the quarter was 11.9%, up 17 basis points sequentially. Over the course of the fourth quarter, we returned $1.4 billion of capital to our shareholders, representing a total payout ratio of 100%. Our consolidated liquidity coverage ratio as well as the consolidated net stable funding ratio remained unchanged at 112% and 130%, respectively. Next, net interest income and balance sheet trends on Page 15. We Net interest income of $1.3 billion was up 13% year-over-year and up 9% quarter-over-quarter. Like the year-over-year increase discussed earlier, the sequential increase was primarily driven by the continued reinvestment of maturing investment securities at higher yields and balance sheet growth, partially offset by deposit margin compression. Average deposit balances increased by 4% sequentially, reflecting 4% growth in interest-bearing and 1% growth in noninterest-bearing deposits. Average interest earning assets were up 3% quarter-over-quarter. Cash and reverse repo balances increased by 4%, loans increased by 5% and investment securities portfolio balances increased by 2%. Turning to our business segments, starting on Page 16. Security Services reported total revenue of $2.5 billion, up 7% year-over-year. Total investment services fees were up 11%. In Asset Servicing, investment services fees grew by 11%, primarily reflecting higher client activity and higher market values. Asset Servicing continues to show strong momentum as clients increasingly access the breadth of capabilities across our platforms to help them evolve their operating models. Sales wins over the course of the year showed broad-based growth across products and segments with particular strength in custody and with alternative asset managers, banks and broker-dealers, a testament to our targeted investments in the fastest-growing segments of the market. ETF AUC/A of $3.8 trillion ended the year up 34% year-over-year, reflecting growth from the more than 2,500 funds serviced on our platform, which was up 22% year-over-year. Alternatives AUC/A were up 10% year-over-year, including double-digit growth in private markets. We continue to invest in capabilities to support our clients' growth, including in retail alternatives with solutions spanning custody, fund services corporate trust, FX and hedging. Broadly speaking, approximately half of all asset servicing wins this past year represented multiline of business solutions reflecting the growing effectiveness of our new commercial model and client demand for consolidating with trusted partners. In Issuer Services, Investment Services fees were up 12% primarily driven by higher client activity in depository receipts. And in our Corporate Trust business, we're pleased with the momentum across our franchise and see significant multiline of business opportunities ahead especially with corporate and municipal clients. We maintained our #1 position in conventional debt servicing and in CLOs and munis where we hold #2 positions we increased our market shares by 4 and 3 percentage points year-over-year, respectively. In Security Services, overall, foreign exchange revenue was down 3% year-over-year reflecting lower spreads on the back of lower volatility, partially offset by higher client volumes. Net interest income for the segment was up 8% year-over-year. Segment expenses of $1.7 billion were flat year-over-year, reflecting higher investments and revenue-related expenses, employee merit increases and the unfavorable impact of the weaker dollar, offset by efficiency savings and lower litigation reserves. Security Services reported pretax income of $838 million, a 30% increase year-over-year and a pretax margin of 34%. It is worth highlighting that for the full year of 2025, Security Services reported a pretax margin of 33%. That was an improvement of 4 percentage points year-over-year and exceeded the medium-term target of equal to or greater than 30% that we established for this segment in December of 2021. Next, Markets and Wealth Services on Page 17. Markets and Wealth Services reported total revenue of $1.8 billion, up 8% year-over-year. Total Investment Services fees were up 4%. In Pershing, investment services fees were down 2%, reflecting client activity in the prior year quarter related to the de-conversion of lost business, partially offset by higher market values. Net new assets were $51 billion in the fourth quarter, representing healthy growth from both new and existing clients. Over the course of 2025, we earned numerous wins from new $1 billion-plus wealth firms and the business accomplished several multiyear contract renewals with key clients. Our commitment to serving multibillion-dollar growth-minded wealth firms across a full suite of custody, clearing, lending, investment products and wealth services is met with interest from existing and new clients and we remain focused on capitalizing on the important opportunity to enable growth for breakaway advisers as their platform of choice. For example, this past quarter, 71 West Capital Partners and West [indiscernible] Wealth Partners selected BNY Pershing to provide custody and clearing for their new independent full-service RIA firms. In Clearance and Collateral Management, Investment Services fees increased by 15%, reflecting broad-based growth in collateral balances and clearance volumes. Average collateral balances of $7.5 trillion increased 15% year-over-year, and average settlements exceeded 1 million per day in the fourth quarter, reflecting higher market activity and new clients on our platform. Against a supportive backdrop from continued issuance and demand for U.S. treasuries, we're focused on innovating solutions that help our clients optimize capital meet evolving regulatory requirements, scale, operational efficiency and access market infrastructure and liquidity. In our Payments & Trade business previously called Treasury Services, Investment Services fees were up 3%, primarily reflecting net new business. Over the course of the year, this business has shown strong performance on the back of broad-based growth across products and regions. Solid growth in sales wins over the course of the year, enabled by our strategic investments in capabilities and talent, give us good momentum into 2026. Net interest income for the segment overall was up 20% year-over-year. Segment expense of $930 million were up 9% year-over-year reflecting higher investments and revenue-related expenses, employee merit increases and higher severance expense, partially offset by efficiency savings. Taken together, our Market and Wealth Services segment reported pretax income of $882 million, up 9% year-over-year and achieved a pretax margin of 49%. Turning to Investment and Wealth Management on Page 18. Investment and Wealth Management reported total revenue of $854 million, down 2% year-over-year. Investment Management fees were up 1% driven by higher market values and the favorable impact of the weaker dollar, partially offset by the impact of the mix of AUM flows and the adjustment for certain rebates, which I mentioned before. Segment expenses of $703 million were flat year-over-year as the impact of higher investments and the weaker dollar was offset by efficiency savings. Investment and Wealth Management reported pretax income of $148 million, down 14% year-over-year and a pretax margin of 17%. As I mentioned earlier, assets under management of $2.2 trillion increased by 7% year-over-year. In the fourth quarter, we saw net outflows of $3 billion including $23 billion of net outflows from long-term strategies and $20 billion of net inflows into cash. Wealth Management client assets of $350 billion increased by 7% year-over-year, reflecting higher market values. Over the past year, we've worked hard to bring our investment in wealth management business closer to our other BNY platforms, streamlined operations and build towards stronger top line growth, including by making several key strategic hires. We expect that 2026 will be the year in which this work will start to translate into improved financial performance. I'll close with our financial outlook. Page 21 shows the current expectations for 2026. Notwithstanding a very dynamic operating environment, positive operating leverage continues to be our North Star and so we have set ourselves up for another year of more than 100 basis points of positive operating leverage in 2026. This reflects our current expectation for total revenue excluding notable items, to grow by approximately 5% year-over-year in 2026 market-dependent. And accordingly, a plan for approximately 3% to 4% growth in expenses, excluding notable items. Specific to the first quarter, I would like to remind you that staff expenses are typically elevated due to long-term incentive compensation expense for retirement-eligible employees. And on taxes, I'd like to note that over the course of 2026, we expect a quarterly tax rate of approximately 23%, with the exception of the first quarter, in which we currently expect to see a tax benefit from the annual vesting of stock awards. Finally, turning to Page 22 for our outlook for the medium term. 2 years ago, we communicated our first set of medium-term financial targets, which were to improve BNY's pretax margin to equal to or greater than 33% and our return on tangible common equity to equal to or greater than 23% while maintaining a strong balance sheet. Today, we are raising the bar. We are increasing our pretax margin target by 500 basis points to 38% and we are increasing our return on tangible common equity target also by 500 basis points to 28%. These new medium-term financial targets represent the next milestones on our path to unlocking BNY's full potential over the long term. What remains unchanged is our commitment to prudent balance sheet management and with it, our philosophy for capital deployment and distributions. Our Tier 1 leverage ratio management target remains unchanged at 5.5% to 6%, and we will continue to manage ourselves conservatively to the upper end of that range for the foreseeable future. Robin talked about our strategic priorities for this next phase on our multiyear transformation of BNY earlier. These new medium-term financial targets are a reflection of our confidence in the solid foundation we've built over the past few years and they demonstrate our determination to continue driving positive operating leverage as we realize greater scale and growth opportunities across our platforms. And with that, operator, can you please open the line for Q&A.
Operator: [Operator Instructions] We'll take our first question from Ebrahim Poonawala with Bank of America.
Ebrahim Poonawala: I guess maybe first question for you, Dermot, on the guidance, especially when we look at the revenue growth, just annualizing our fourth quarter NII gets you to about 9% growth on the NII side. So if you don't mind unpacking that a little bit around what are the assumptions underpinning that revenue growth outlook and on fees as we think about '26?
Dermot McDonogh: Okay. Ebrahim, hope you're well. So let me start with saying this year, we're doing it slightly differently. We finished the year with $20.1 billion of revenue, and the performance over the last 3 years has given us confidence to guide top line growth. And as I said in my prepared remarks, the guides that we're giving to you for 2026 is up 5%, plus or minus year-on-year on the top line revenue. Now underneath that, you have both fees and net interest income. And I've said previously that Q4 is a good jumping off point but December was a particularly strong month for us in NII. So the way I would think -- the way you should think about NII for us this year is a little bit ahead of 5%, fees may be a little bit lower than 5%. So all in top line growth, up 5%.
Ebrahim Poonawala: Understood. That's helpful. And I guess maybe one bigger picture question, just around as we think about the strategic targets and maybe, Robin, your thoughts, I guess the one missing piece here is how would you want the seat to think about -- I guess, the medium-term earnings growth potential for BNY. And within that construct, for whatever reason, if the revenue growth environment worsens, your level of confidence in defending the margins and the ROTCE targets that you've upgraded today?
Robin Vince: Sure. So look, I'll take it, it's kind of got 2 parts. I'll take it both parts of that. But first of all, on the growth targets. Look, we've said all along, the positive operating leverages are North Star. And we've also said that there will be different components to achieving that in any year. And I think it is important to note that, and that's one of the reasons why as Dermot just said, we sort of moved to the total revenue guide because we recognize it's sort of a compositional question. But you should be able to hear from us, certainly, in our prepared remarks, is a bit of an increased conviction inside the company about our ability to win and grow. And we've certainly been setting internal aggressive sales and revenue targets to be able to do that. But to your question, we're certainly humble about the fact that we've got to be careful around any particular assumptions on market environment. And this is where I come back to the fact that we're all risk managers at heart. We're sort of projecting out a lot of different potential scenarios. And we take very seriously the fact that we've got to have levers to the extent that the markets might end up disappointing. And so we created agility in our expense base. And that's been part of our work over the course of the past 3 years. The platform's operating model work, the work that we originally did around some of the efficiency savings, making choices. And the fact that we've now got the rhythm of saying, "hey, we could actually make different choices on business development expenses, compensation if needed, the investment book of work." And so this agility is extremely important. But I'll just also recap with a reminder of the fact that we've also deliberately positioned the platforms inside the company and the whole company to trying to reduce the macro sensitivity to the world. And so you've seen that in NII. We actually specifically called it out in the presentation. But if you look at the different cylinders of the revenue engine of BNY equity market values, fixed income market values, equity market transaction volumes, fixed income market volumes, government issuance, private sector issuance, capital markets activity, GDP growth, payments, software, services, execution and clearing, generally, fixed income and equities. That is all very deliberately positioning ourselves to be able to be more resilient. But then, of course, to your question, to the extent that things happen, we can still react to them. That's how I think about it together.
Operator: We'll take our next question from Michael Mayo with Wells Fargo Securities.
Michael Mayo: As part of your new hire targets, how much does your thought about tech and AI play into that and specifically, as it relates to AI, you certainly got our attention. You have over 100 digital employees. How many of those AI digital employees do you expect to have over 3 to 5 years? And what's the savings from them? And again, how does that play into your new hire targets?
Robin Vince: Yes. Thanks, Mike. Look, AI, we think, is super important. We think it's just going to be able to be a catalyst for transformational change. We think that's true for the world. One of the most important evolutions in a technology, frankly, in hundreds of years is the way that we think about it. And so given that, it's very hard to project very clearly exactly where we'll be 1, 2, 3, 4, 5 years from now. And so there's always the risk that we haven't properly and fully incorporated it into our medium-term targets because while we thought about it, it's hard to look into the future that clearly. But the way that we think about AI and maybe this will be helpful, therefore, is we think that the technology has already gotten to a level where it can have a very significant impact, frankly, on all of us individually and companies and certainly here at BNY. And if that follows then we think it follows that adoption and integration risk becoming the limiting factors. So what we focused on is the real cultural side of it. Making AI for everyone, everywhere and for everything at BNY is our mantra. We launched our AI hub in 2023. That was just after the ChatGPT moment. We now have an enterprise AI platform, Eliza, that's general intelligence model-agnostic, and it supports this multi-agent functionality that underpins the digital employees that you referenced. And then we've put in place the resources to support that to really enable the scaling of it. That's all of the GPU compute. We've got our own NVIDIA hardware and tech, but we've also got the collaborations with Google that I mentioned in my prepared remarks and OpenAI and others. And then the culture point again, and you'll see this, it sort of resonates through the whole set of transformation and rewiring concepts that we're talking about for the company. It's as true for AI because if AI is this great capability, it's a superpower, it can, therefore, be a capacity multiplier for our people and so that's what is causing our people to be able to pull AI towards them, hence, the digital employees working side by side with our people. Now it is early days. We will continue to give you mark-to-market in terms of how we're making progress on this. But we are short-term enthusiastic, medium-term excited and long term, believing that it will have a significant positive impact.
Michael Mayo: That was helpful. So I get the enterprise with Eliza scaling culture, you're excited about it, but could you put a little bit more meat on the bones if you could, like you might have 134 digital employees today and does that equate to in savings? And where do you think that number goes to? Or that's a little bit more detail, if you could?
Dermot McDonogh: Mike, it's Dermot here. If you review the materials on Page 6 of our financial presentation, you'll see over the last couple of years that our headcount has trended down a little bit, but that's not really anything to do with [ AIES ]. We talk about internally, AI is unlocking capacity we don't think about it as in the narrow definition of efficiency. It's all about growing with clients, increasing revenues and optimizing the potential for our employees. So you have to think that over time, AI as a superpower as Robin just said, is going to increase revenues, create capacity and will allow us to do more with existing resources. And over the last couple of years, we've been doing this right since the get-go in terms of enterprise-wide strategy. We've been quite constrained in our spending, and we've been very disciplined, we continue to spend more on cyber resiliency than we do on AI. So the return for our money is very, very high from probably getting from the enterprise today. And so we only see upside from here.
Operator: We'll move to our next question from Ken Houston with Autonomous Research.
Unknown Analyst: I wonder if you can detail a little bit the pretax margin improvement to 5 points. What -- can you go through kind of each of the businesses and talk as to how your individual business line pretax margin thoughts are evolving within that too? Like where do we get the most juice?
Dermot McDonogh: Okay. Thanks for the question. So if you kind of go back to 2023, we delivered an actual performance pretax margin of 30% and ROTCE of 22%. And back then, when we initially established the medium-term targets, we went for 33% and 23%. And now we're going with new medium-term targets today of 38% and 28%. So you see real progression there over the last 3 years. And also today, as I mentioned on the first question from Ebrahim, you see us guiding for the first time, top line revenue growth. Previously, we guided by business. You will have seen us guide 4 years ago on security services and we've kind of surpassed that guide. And so that really speaks to the power of the One BNY transformation that we've been doing over the last 3 years. We have 3 segments: Security Services; we see upside in Corporate Trust; we see upside in Depository Receipts. We feel that asset servicing over the last 3 years has really transformed in terms of growing revenues, taking advantage of efficiencies and driving pretax margin. So that kind of disciplined focus on expenses is allowing us to better price for business to win in Asset Servicing. Market and Wealth Services is the most akin to platforms at scale that we have at the moment as the rest of the firm matures in the platform operating model. The pretax margin there is roughly, give or take, around 50%. We would expect to grow that pie at that margin. And so the upside from there on that segment was probably a little bit muted. But in Investment and Wealth Management, where we've guided 25% and we finished last year at roughly 17%. That's where we see the most opportunity in '26 and beyond as we kind of begin to see the green shoots of recovery in that segment come back. So One BNY overall delivering for clients, as Robin said in his prepared remarks, 64% increase in clients buying from 3 or more lines of business in the last 3 years. 10% of new logos coming to the firm last year as a percentage of sales. So the clients are noticing what we're doing and want to do more with us.
Robin Vince: And remember, there's a compositional thing here as well, Ken, because if you think about the combination of corporate trust, depository receipts, payments, trade CCM and Pershing, which are kind of the platform [ e-businesses  ]that Dermot was talking about, that now represents about 2/3s of the PTI of the company, 3 years ago, that was just 55%. So there's a bit of an averaging here given the fact that that's -- those are the -- that's the segment, MWS and the businesses that are actually growing the fastest inside the company. So actually as a percentage of the whole, they're growing. And that's a factor here, too.
Unknown Analyst: Yes. Got it. And just a follow-up, Dermot, on your point about how December was a strong month for NII. You guys have done a very good job kind of consistently being conservative about your NII outlook. What would you say about the fourth quarter? Was it deposit balances? Was it pricing? Like what are the elements that may not run rate forward relative to your exit?
Dermot McDonogh: So Q4 really was balances held in quite nicely, and we had -- we always say that we don't lead with deposits and really NII is an output as a result of franchise activity. And in Q4, we had very strong activity in our asset servicing business, which caused balances to outperform in the last few weeks of December, and that caused the outperformance.
Unknown Analyst: Okay. I would just think that just as you're continuing to push, as you mentioned just before, like why wouldn't that just be a better organic hold on just activity and overall balances?
Dermot McDonogh: So if you kind of take balances overall, for 2026, we expect balances throughout the course to be roughly flat, Q4 is normally our strongest quarter on balances. Q3 is usually the seasonally slowest and you would expect over the next couple of quarters to moderate down slightly. When we give you the -- when we think about the 5% plus, it's really around the asset side of the balance sheet where we have securities kind of rolling off, and we're reinvesting as a kind of [ 100 to 150 ] basis point pickup. So we kind of -- we've narrowed the range of the cone of outcomes as it relates to interest rate volatility, balances we expect remain roughly in line or flat, and the pickup will come from assets rolling off into higher-yielding securities.
Operator: We'll take our next question from Steven Chubak with Wolfe Research.
Steven Chubak: So Robin, I wanted to start with a question on your newly launched tokenized deposit capabilities and I was really hoping you could speak to institutional demand for the offering what has been some of the early feedback? And as the effort scales over time, how might your monetization approach differ versus some more traditional deposit gathering activities.
Robin Vince: Sure. So look, I just sort of step back from the whole thing because this really is part of the overall digital asset opportunity. We see global financial markets as transforming, moving towards more of an always-on operating model. And we're in the business of moving, storing and managing money. And so we think we're particularly well positioned to connect the traditional and the digital rails to really be able to enable clients. And so our road map has really been, right from the beginning, focus on the innovation, be able to bring the capabilities online with that first with digital asset custody, stablecoin enablement. You just mentioned the tokenized deposits. And so that allows us to be able to serve both the new digital native clients who, by the way, want the new digital services, but they also want some of the traditional services from us. So we're enabling both with them, and it also allows us with our existing clients to be able to help them to be able to move into this world. So for instance, as a client might want to open up a new share class in parallel to their traditional share classes, maybe they want to open up a tokenized share class, we can do that as well. So it really is these 2 things working in concert that we think unlocks new possibilities. And we see the value of the improved efficiency, reducing friction that is real value here. And so then when you click in, stablecoins and tokenized deposits are just to become 2 examples of all of that, stablecoins providing the on-chain settlement currency, which is very necessary and it's frankly because it's their stable value, probably better some of the other alternatives. And there, of course, there are choices there in the stablecoins. And then tokenized deposits really improving the internal utilization of cash. And so for a client making a deposit with us, we can actually improve the usability of that deposit, it becomes sort of programmable, if you will. And it allows that money to be able to work harder and faster for them to be able to facilitate other activities and ultimately might, in fact, create the opportunity for clients to be able to do more things with us anchored around some of those types of activities.
Steven Chubak: Robin. And for my follow-up, maybe for Dermot, just on the clearance and collateral management business. You've delivered 4 consecutive years of double-digit fee growth in that area, exited this year growing 15%. Just given expectations for a meaningful uptick in treasury issuance, how does that inform the outlook for the business? Is this double-digit growth rate sustainable? And what are some of the factors that could potentially derail some of the recent momentum?
Robin Vince: Great question. So the way I would think about this is, as you rightly pointed out, the growth rate over the last couple of years has been quite nice to see. And so we would say the growth rate from here, probably a little bit more modest compared to previous years. We have the treasury clearing mandate coming in, which we expect to kind of influence some of the things that go on there. So in the U.S., I would say, more treasury issuance a little bit more stable than we've seen in the prior couple of years because we've kind of volumes, et cetera, et cetera, are beginning to moderate and where we see some of the growth opportunities outside the U.S., and we've said that on prior calls, where we're continuing to invest in new products and services around the world. So we expect to continue to grow internationally and moderate in the U.S.
Operator: We'll take our next question from Alexander Blostein with Goldman Sachs.
Alexander Blostein: I was hoping to jot a little bit and talk about the fee revenue outlook as a whole. You guys updated the organic revenue growth for 2025, which looks like came in at 3%. Some businesses are doing better, some are doing a little worse. And the ones where you're seeing strength, particularly things like Security Services, it sounds like that momentum is continuing and then in things that are slower when I think about like Pershing or maybe your asset management, there are some idiosyncratic things that you pointed to that should improve. So as you think about organic fee growth into '26 and beyond, any way to frame what that could look like?
Dermot McDonogh: So thanks for the question, Alex. I really would look at and study Page 6 of our presentation. There are 2 graphs that I particularly like on that page. One is the deeper client relationships where you can see that over the last 3 years, we've grown clients who are buying for more than -- 3 or more lines of business has increased by 64% and then when you pivot over to the middle page, you can see that 2022 flat organic, '23 flat organic 24%, 2% and 2025, 3%, then that gives us the confidence to be able to guide 5% to the top line of $20.1 billion. And as I said in an answer to an earlier question, 10% of our sales last year was with new logos. And when you listen to Robin and his answer to the previous question on digital assets, more clients are coming to us because they want thought leadership. And as a consequence of leadership in new spaces, frontier products, we're doing stuff in traditional services. So the short answer to your question is it's the portfolio effect of delivering One BNY to a broad range of clients. Robin said 3 years ago, we have a client list that's the envy of The Street. We pretty much service most of the S&P 500. And so clients are seeing the change that's happening at the company, and they want to do more with us. So I would say no one business is doing better than the other. Everything has upside, everything is opportunity. As it relates to Pershing specifically, I'm pleased to say that the last couple of years, I would have said on most calls, [ were ] deconversion due to M&A activity, that's largely behind us, which reinforces why we feel confident that we continue to grow now at mid-single digits for net new assets. So we feel good about Pershing and the opportunity that's in front of us there. And also, as I said in the answer to a previous question, we feel we've turned the corner in IWM and '26 is the year that we're going to begin to see the transformation as we brought that business closer together with BNY.
Robin Vince: And Alex, I'll just add one thing, which is -- and I understand because we've talked about this a bunch over the course of the past couple of years in terms of, okay, where is the growth going to come from? How are you really thinking about it? We talked before about the alpha and beta that we see in the overall business model. And so I just want to remind you of the beta point. Dermot touched on it related to digital assets. But just remember, there are quite a few megatrends that that we think can be quite interesting tailwinds for the company. And so the question is, have we positioned the company in the right way and all of our business platforms to really be able to serve clients as it relates to those various different trends. So just very briefly to tick through them, capital markets, the growth in capital markets issuance, trading, movement of assets. Think about it, corporate trust, our payments and trade business depository receipts, they line up very well with that particular trend, alternatives and our ability to support clients -- alternative clients end-to-end, private market assets, again, Corporate Trust, Asset Servicing, very much playing in that space, wealth very important segment, Pershing, wealth investments are all significant players in participating in the growth of that megatrend. Digital assets, which we talked a bunch about already. And that, again, many of our businesses aligned to enabling that. The growth of fixed income, which Dermot touched on, that's relevant, not only in the obvious ways, but also in the financing private markets, data centers, U.S. treasury borrowing. And then the big one, outsourcing, clients wanting to focus on what they're really good at and asking us to step in because of the breadth of what we can do to do some of the one-stop shopping being a trusted provider and really giving us that opportunity to serve them more comprehensively. So when you think about that backdrop we have not only the alpha of all of the individual work that we're doing internally, but we're also positioning to be able to take advantage of that. We think the combination of the two things is pretty interesting.
Alexander Blostein: Yes. No, I agree that. And definitely like the direction where things going on that Chart 6 -- or Slide 6. For my follow-up, guys, real quick on the buyback. I don't think I heard you guys talk about the capital return plans for 2026 specifically? And then just broadly, when you think about the growth algorithm of the firm, your medium-term targets. Obviously, you gave us margins and the return of capital. But as you think about the share repurchases and the total return of capital, how does that play out over the next couple of years?
Dermot McDonogh: So big picture, Alex, the capital -- our capital philosophy remains unchanged as you both know, Robin and myself, we like to run to the upper end of our Tier 1 leverage ratio, lot of uncertainty in the markets the last couple of years. The outlook is going to be a little bit uncertain. So we like to kind of be in that kind of 6% ZIP code of Tier 1 leverage ratio. And when you step back from what is BNY, it's a capital-light balance sheet with a very clean balance sheet, very liquid balance sheet capital generator. And over time, we've consistently returned earnings to our shareholders. And so we expect that to continue and when you kind of solve for the model of what we've guided for 2026, it's going to be consistent. So the buyback number as a percentage is really an output to all the things that we've talked about earlier. So it's going to be in that kind of [ 95, 105 ] range. And so don't really feel that it's necessary to guide on the buyback anymore given the overall algorithm and the model that we have for the future.
Operator: Our next question comes from Brennan Hawken with BMO Capital Markets.
Brennan Hawken: I actually have a question on organic growth as well. And thanks for all the color you've given. So you generated 3% organic growth last year. Your assumptions in your outlook are that organic growth would accelerate, markets are flat, but yet the fee revenue outlook is sub-5%. So this is kind of 2 possible outputs, conservative outlook? Or was there some over-earning or onetime items that might have elevated the baseline that you're growing off of when we think about 2025 into 2026.
Dermot McDonogh: So look, organic growth in '26 versus '25. I think if you look -- go back to Page 6 and you see the impact that the commercial model is having, right, on the 2 graphs of organic fee growth and deepening client relationships. The story is quite compelling. And so we continue to hire new talent. The commercial model is not even 2 years old. So we continue to bring in new talent around the world and we continue to raise the ambition of what we want to do with clients across a wide range of services. So I would expect higher organic growth this year, which reflects the flywheel of the new commercial model and also new product development and the culture that we've kind of changing over the last couple of years at the firm. We haven't really mentioned this, but we have hired a new Chief Product and Innovation Officer who's been with us a little bit over a year, and we would expect a similar impact on the product side of the house that we've had on the commercial side of the house. So we feel quite good about the outlook for organic growth to 2026.
Brennan Hawken: No, no. I totally appreciate that. My question is if the organic growth is going to accelerate, markets are flat. How do we end up with sub-5% fee revenue growth? And correspondingly, if you've got organic growth -- I might as well also just throw my follow-up now. Why would balances be flat? Don't balances tend to move with organic growth as well. So shouldn't that move with organic growth? Or was there something in the baseline that might cause that -- those 2 metrics to diverge?
Robin Vince: You framed the question at the beginning as we are we over-earning. We don't think we're over-earning. We think we are being thoughtful in the way that we're positioning the outlook for 2026. We see, of course, variability on each of the inputs to the total revenue actually overall line. But we recognize that it could come a little bit more or less with NII. It could come a little bit more or less with the organic fee growth. Of course, no one quite knows what going to happen with markets, which is why we're sort of making what we think is a reasonable baseline assumption there. So you're doing the math and we're kind of agreeing with you. We're not quite exactly sure how the composition is going to come, but we feel pretty good about the guide.
Brennan Hawken: Excellent. Okay. Well, I look forward to seeing that organic growth continue to grind higher. So it's a great outcome.
Operator: Our next question comes from Betsy Graseck with Morgan Stanley.
Betsy Graseck: All set. All my questions have been asked and answered. Thanks so much for the time today.
Operator: We'll take our next question from Glenn Schorr with Evercore.
Glenn Schorr: Thanks. I'll just do one small one. We're getting long in the tooth here. So I heard your comments about the deconsolidation in Pershing running its course, and I agree. I just -- taking a step back, there's been a ton of consolidation in the space, except there's also a lot of PE ownership. There's a lot of more consolidation to come. And so I'm curious if you've looked underneath the covers to see your book of business and how high up in the table, it is, meaning do you service a lot of the consolidators or the consolidates in the future because there's going to be more. And then I worry a little bit about -- not that I agree with it, but in the past, sometimes when they get big enough, they think they can in-source and do it themselves. I'm just curious if you could talk a little bit about any part of that.
Dermot McDonogh: Okay. Thanks for the question, Glenn. I see us playing a very significant role in what is a very big market. We are a $3 trillion player in this space. And we believe we have the products, we have the talent, and we have a right to play in this space. And we've seen that over the last 12 months, where we -- and I've said it in our prepared remarks, we've had contract renewals with big players. We've had a couple of breakaway clients in the fourth quarter that we've onboarded, which I said in my script. And so we feel like we're going to do as well as anybody else in this space, and we have the tools and the solutions and clients are happy with Wove. They like Wove. We've invested -- we have more than 50 clients on that platform now. We continue to grow revenue, and we continue to bring in talent to be able to drive the business forward. And so we kind of think maybe for the next couple of quarters, you won't see necessarily the M&A that's been seen in the last few quarters as people are digesting those transactions. And so there has to be a kind of a a pause for digesting and our pipeline is robust and healthy.
Operator: We'll move to our next question from David Smith with Truist Securities.
David Smith: Your new medium -- your new medium-term targets aren't too far ahead of the adjusted performance of the past quarter. Can you just go into some more details about why you feel like these are sufficiently ambitious given the opportunity set in front of BNY over the next 3 to 5 years? You pretty much hit your targets that you set in January 2024, for your full year 2024 adjusted results. So now I hear you about conservatism and the importance for unity across a range of market backdrops. But what -- can you share to show us why the bar has been set high enough for the next few years?
Dermot McDonogh: Okay. So I was expecting this question. So as you -- who gets to ask it. The way I would answer it, if you go to Page 22 of our highlights presentation. When we were at [ finish '23 ], pretax margin was at 30% and we went with medium-term targets of 33% and 22% on ROTCE, 23% was the medium-term target. I think you appreciated that ambition and liked the targets, and it was doing it for the first time and said, okay, BNY is kind of raising the bar in itself. So now we closed the year quite strong and we're going with 38% and 28% for 3 to 5 years out. So again, we're going to stay -- we're going to do that over time through the cycle. And so a lot of things can go in a different direction. It's going to be nonlinear and we're raising the bar. Every day, we're trying to outperform that, but we're setting -- maybe think of that as a floor to our ambition and we'd look to outperform it. So we feel like it is stretchy for the firm given where it is in its transformation, and we're always going to look to outperform those targets.
David Smith: Just as a follow-up, it's great to see the improvement in client relationship depth with clients who work with 3-plus businesses up 64% versus 2 years ago. Can you give us any sense of the number in absolute figures? Is it a single-digit percent of use 3 or more businesses at BNY right now? Is it the majority? Is it somewhere in between? Where do you want us to get to over the medium term?
Dermot McDonogh: So one of the things that I haven't said is last year, we had 2 individual record sales quarters. So I would say it's all across the firm. And we've had 3 consecutive years of year-on-year growth in core fee sales. And so when you look about that in the context of a commercial model that's not even 2 years old, then you have to feel optimistic about the future. 60% of new clients buying from 3 or more lines of business and 10% of sales in 2025 were clients that are new to BNY. And that is some of the points that Robin made about the new products where clients are coming to us for thought leadership. And while they're with us and talking to us, they're doing traditional services. And we've seen an increase -- a 20% increase in annual sales productivity. So I think the hustle and energy within our commercial organization is possible and clients really want to talk to us about doing more with us. And also, the last point I'd make on this is -- over the last 3 years, we've roughly spent $0.5 billion each year investing in the firm and providing improved client service, improve solutions, improved product. And you can see that particularly showing up if I was to pick one business or one segment. You see it showing up in security services, which is really where we've really outperformed on the margin. And so we see a real flywheel of momentum there and we expect that to continue on the forward.
Operator: Our next question comes from Gerard Cassidy with RBC.
Gerard Cassidy: Robin, can you give us bigger picture, you guys have obviously put up very strong organic growth numbers, and that's the focus. But when you think about opportunities to grow through acquisitions or inorganic growth, is there any areas that have an interest to you? I know you've done a small deal a couple of years ago. And all the focus, again, has been on organic, which has been fabulous. But what about inorganic or acquisitions? How do you think about that?
Robin Vince: Sure, Gerard. So look, let me just start with just bringing you back to our remarks because I do think this is a very important context for M&A because there are a lot of different reasons why folks can do M&A and one of them is obviously when they absolutely need to go do something because they've run out of runway themselves in some respect. And I think our headline is that our organic transformation is working and it started to show tangible results, and we think we've got strong momentum and the runway to create more value here for clients, and therefore, for shareholders over the near, medium and long term. We're certainly open-minded about inorganic opportunities if they can accelerate, derisk or enhance our value proposition. But we do feel -- so we have a lot of optionality here because we've got the momentum from what we're already doing. We feel good about that organic path. And so we don't have any pressure to do M&A. And that's very important because we think that when you look out and see the reasons why various different folks do M&A is not always for the best reasons. So that optionality, we think, is a very a very real thing. Now in terms of the philosophy, there's no change to it. So M&A, if done well, can be a powerful tool in the toolkit. We're certainly open to things. We look -- Dermot said this before, ever since last summer when there were all these rumors in the market, we've had a lot of bankers calling us with inorganic opportunities. So we see the flow and we're in touch with it, which is good. But for us, it's going to be about good discipline, alignment with strategic priorities, strong cultural fit, attractive financial returns and the bar is definitely high. It would have to make a lot of sense because as I said, we don't feel like we need to do it, but that's sort of collectively how we think about it.
Gerard Cassidy: Very good. And just to tie into that, in the markets you operate what are the markets that are the most robust? Is it domestic U.S.? Or is it Europe? Asia? Because obviously, you're global, you've got a good feel for that. Where are you guys seeing the best growth and the best opportunities for growth?
Robin Vince: It's interesting. It's going to sound like I'm not going to give you a satisfactory answer to the question because it really is all of the above. The U.S. is the biggest market that we operate in. If you want the split, it's approximately 40% outside of the U.S. So we feel like we've got a good global balance, but the U.S. obviously has got a lot of opportunity for us and a lot of our platform have seen the growth. But actually, last year, the fastest growing in percentage terms region was actually Asia. So clearly, there's opportunity there as well. And I would say historically in Europe, we might have been a little bit under-penetrated so that there's real opportunity there as well. So I wouldn't really break the opportunity down on geographic lines. And as Dermot said, we don't really break it down on business lines either because we see opportunity and pathway in each one of the businesses, albeit for very different reasons, and that really ties back to this point about the different things going on in the market, these mega trends, whether it's capital markets, private markets, et cetera, that I talked about before. So this is a critical part of how we're thinking about the company. We are deeply invested in making the company work more effectively, the agility, the platform's operating model in terms of how we run the place. We've deeply invested in the commercial model so that we can actually get more and more out of the businesses that we have, this great breadth of businesses to deliver to clients, including in more combinations and more solutions, which is exciting. Dermot mentioned product and innovation, that's exciting because that's about new products in the same way as he mentioned, new logos earlier on. And so all of those things come together for us think, to be able to drive opportunity, which is one of the reasons why when we sit and look at what we have, going back to the beginning of the answer to your question on M&A, we feel like we've just got a lot of opportunity with what we've got to make more of it.
Gerard Cassidy: Very good. And then Dermot, a quick question on Slide 6, as you referred to one of your favorite graphs, the deeper client relationship graph. I don't think you mentioned this, but if you did that, I apologize. What percentage of the customers are now taking more than 3 products or 3 businesses? Or are you is there still enormous room for this to continue to grow at this rate because you just haven't deeply penetrated all of the customer base at this level?
Dermot McDonogh: So I would say a lot more room for improvement. It's a momentum. It's a cultural transformation. It's a de-siloing of the firm in some ways, we're kind of turning a page here today on Phase I to Phase II but the work is never done. And so we think there is more upside, more training, deeper integration of the businesses. We kind of like -- if I just give you one specific example, asset management can do a lot more with Pershing than what it does today. Asset Management can do a lot more with asset servicing kind of it does today. And the leadership of those 3 businesses are beginning to see that opportunity. We have great manufacturing capability and asset management. We need to deliver that to the rest of the firm and their BNY clients.
Operator: We'll take our next question from Emily Ericksen with Citigroup.
Emily Ericksen: I wanted to ask first on -- on the expense side of things, you're guiding to 3% to 4% for '26, so take the midpoint of that comes in somewhere near where you guys printed for '25. But we're talking about flat markets, right, from year-end. Is the way I kind of square, I guess, that difference is some of the market-related [ uplifted to expenses ] expected to kind of recede the balance between what you're able to harvest in efficiency savings relative to the incremental investments, the $500 million from '25, how should I think about that particular balance on the expense side of things in the '26?
Dermot McDonogh: So I'm looking at Page 21 of the financial presentation, Emily. And look, for the first time this year. Previously, we've guided some operating leverage and positive operating leverage. Today, we're coming out and saying it's going to be greater than or equal to 100 basis points. And over the last few years, I think we've managed to establish some credibility that we are very good stewards of our expense base, very good financial discipline. And we've harvested roughly $500 million a year for each of the last 3 years, and we've reinvested that in the business to grow. And so it's really about the 3% to 4% guide for 2026 is that continued investment in the business in a very agile and dynamic way, which gives us then the confidence to be able to guide to the top line growth of 5%. So it all starts with top-down where we kind of say we want to solve and deliver positive operating leverage to you. And then as a consequence of that, in the budget season, then we're going to go through the bottoms-up planning analysis, and we arrive at this model that gives us this flex on the expense side.
Emily Ericksen: Got it. Okay. And then just on the NII side of things, you've talked about breaking out that 5% on total revenue a little better if we look just at the NII piece. How much of that -- can you sort of walk through the drivers of where NIM goes from here? I know you have the reinvestment impact on the security side of things, but you also pointed to some deposit margin compression in 4Q. Is there room for significant NIM expansion to support that 5% plus on the NII side?
Dermot McDonogh: So I'm not too sure what your definition of significance is, but I would expect over the course of 2026 for NIM to grind higher from where it is today.
Operator: Our final question comes from the line of David Konrad with KBW.
David Konrad: My question on capital was asked and answered, so we can end it here.
Operator: And with that, that does conclude our question-and-answer session for today. I would now like to hand the call back over to Robin for any additional or closing remarks.
Robin Vince: Thank you, operator, and thanks, everyone, for your interest in BNY. If you have any follow-up questions, please reach out to Marius and the IR team. Be well.
Operator: Thank you. This does conclude today's conference and webcast. A replay of this conference call and webcast will be available on the BNY Investor Relations website at 03:00 p.m. Eastern Time today. Have a great day.